Operator: Good day, and welcome to the Cargojet Canada Limited Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference call over to Mr. David Tomljenovic, Vice President of Investor Relations. Please go ahead.
David Tomljenovic: Good morning, everyone, and thank you for joining us on this call. With me on the call today are A.J. Virmani, Executive Chairman; Pauline Dhillon, Co-Chief Executive Officer; Jamie Porteous, Co-Chief Executive Officer; Aaron McKay, Chief Financial Officer; Sanjeev Maini, VP, Finance; Remi Tremblay, General Counsel and Corporate Secretary. After opening remarks about the quarter, we will open the call for questions. I would like to point out that certain statements made on this call, such as those relating to our forecasted revenues, costs and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures like adjusted EBITDA, adjusted earnings per share and return on invested capital. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and reconciliations of non-GAAP measures to GAAP income. I will now turn the call over to A.J.
Ajay Virmani: Good morning, everyone, and thank you for joining us today. In November 2023, we announced the first phase of our leadership transition. With my move into the Executive Chair role and the appointment of Jamie Porteous and Pauline Dhillon as Co-CEOs. Today, as we move into the next phase of that transition, I want to take a moment to recognize the outstanding contributions of Jamie Porteous and to officially welcome Pauline as Cargojet's next CEO. Both Jamie and Pauline were founding partners of Cargojet 24 years ago. From day 1, they have developed and built this company from ground up. They were guided by a share commitment -- shared commitment of reliability, customer service and excellence in everything we do. Jamie has played an instrumental role in transforming Cargojet from a small Canadian start-up into a global air cargo leader period. His strategic vision, discipline and customer-first mindset have been central to our success. On behalf of the Board, our employees and our shareholders, I want to sincerely thank Jamie for his incredible leadership and his 24 years of dedicated service. While Jamie will be stepping back from daily operations to spend more time with his family in the new year, I'm pleased to share that he will be -- he will remain available to provide strategic advice, support and ongoing guidance for this transition and ongoing business. His insight will continue to be a great asset to the organization, and we are thankful to Jamie for continuing on his role as a strategic adviser. As Executive Chair, I will also remain deeply engaged with the process, mentoring Pauline, working closely with the Board and the team to ensure a smooth and deliberate and thoughtful transition. The Board is proud to confirm Pauline Dhillon as our next CEO effective January 1, 2026. Pauline has been with Cargojet since day 1. And over the past few decades, she has worked in virtually every part of the business from network operations, customer relations, marketing, government affairs, Chief Corporate Officer and Co-CEO. As Co-CEO, she played a key role in building Cargojet brand, strengthening our customer relationships, driving employee engagement. And over the past 2 years, she has continued to lead with purpose, driving growth, innovation and operational excellence. Pauline has grown up with Cargojet system. She embodies our culture, our people-first values and our customer service obsession. The same ingredients that have made Cargojet successful over 20 years. She has my full confidence. She has the full support of Jamie Porteous. She has the full support of Board, and she has the full support of her team to lead this organization to the next chapter of our global growth. Thank you very much. And I will turn the call over to Jamie Porteous.
Jamie Porteous: Thanks, A.J., and good morning, everybody. Let me begin by sharing how sincerely grateful I am for the career that I've had at Cargojet and to the many colleagues who have helped shape our business into what it is today, including, of course, A.J. and Pauline, whom I have worked beside since day 1 with a simple but bold plan to create a world-class air cargo carrier. We are truly a Canadian success story from both a transportation company and a public company standpoint and have built a legacy that will endure for many, many years for all stakeholders. As A.J. said, I am extremely optimistic about the company's future, and I am fully confident in Pauline's capabilities to lead Cargojet into the next chapter and wish her and the entire Cargojet family the best of success and will continue to support and cheer you on from the sideline while I enjoy my next chapter. Thank you. Now let me share some comments on the quarter. Entering the back half of 2025, the near-term impact of seismic shifts in global trade became more apparent as persistent tariffs and other trade barriers became the new normal. Demand remained uncertain as major policy shifts continued, including the removal of the U.S. de minimis exemption, disrupting transpacific e-commerce flows and tempering near-term growth expectations. The longer-term impacts of this new trade world order are still developing with new behaviors rippling through global supply chains and consumer behaviors. In that light, and as we noted last quarter, resilience is the key to thriving in this unprecedented period. This quarter, I would add the word discipline as well. Although in the longer term, we expect the world to adapt and global trade to reestablish new normal patterns, it remains likely that the near term will be characterized by continued uncertainty and some volatility. Through that environment, resilience and discipline will underpin Cargojet's ability to continue to deliver high-quality results. Periods of change bring opportunities as well as challenges. Historically, Cargojet has demonstrated a very successful capability to take advantage of macro level economic changes in the past, most recently through the boom of e-commerce during COVID, and our job continues to be to find opportunities for disciplined, profitable growth in this ever-changing trade environment. At the core of our business, our domestic network remains strong, growing by more than 6% year-over-year and over 12% year-to-date, primarily because of the continuing growth of e-commerce volumes within Canada as well as the increased business-to-business volumes and the impact of inflation-based price increases. As disruption in transatlantic trade routes continued, we saw a corresponding decline in our ACMI revenue year-over-year as we described in the second quarter. Despite the disruption, our ACMI partnerships remain strong, with the decline reflecting a shift of our ACMI operations to be more north-south focused within the Americas resulting in lower block hours year-over-year. However, I must point out with the same number of contracted aircraft. We remain optimistic that in the longer term, air cargo corridors will stabilize and Cargojet will be well positioned to take advantage of early returning opportunities with our ACMI partners. We also saw a year-over-year decline in our charter business as disruptions to transpacific trade, particularly e-commerce volumes meant that we operated 3 flights per week through the third quarter versus an average of closer to 5 flights a week in the third quarter of 2024 between China and Canada. We anticipate this frequency recovering late in Q4 as we enter the holiday peak season, and we continue to explore new opportunities for longer-term charter arrangements. We remain confident that discipline and resilience, coupled with our diversified revenue streams and flexible fleet will allow us to continue to deliver strong margins in any macro environment and to remain well positioned to take advantage of and seek out new profitable growth opportunities through this near-term period of disruption and in the longer term when demand returns. With that, I'll hand it over to my long-time partner, colleague and friend and our next CEO, Pauline Dhillon.
Pauline Dhillon: Thank you, Jamie. I am honored to assume the role of CEO after serving alongside Jamie as Co-CEO for the past 2 years. Jamie's leadership and strategic vision have been instrumental in bringing -- building Cargojet into a market leader with a strong financial and operational foundation. I want to thank him sincerely for his decades of contribution and partnership and his continued support as my co-CEO and going forward, my strategic adviser. I'd like to sincerely thank Jamie for his friendship. I wish Jamie and his family all the very best as they embark on this new chapter of their lives. Looking ahead, I am as excited about the future of Cargojet as I was on day 1. I want to thank the Executive Chairman, along with the Board of Directors for their continued confidence in me. We have a clear strategy, a strong mission and proven capability. Our diversified business model, disciplined execution and a highly talented team position us well to capture new growth opportunities and to continue delivering long-term value to our customers and our shareholders. As Jamie noted earlier, our position as the #1 air cargo carrier in Canada is the result of years of resilient operations, delivering time and time again for our customers through periods of both opportunity and adversity. That resiliency comes directly from our unique culture and the efforts of the Cargojet team. I want to thank each and every one of those team members for their ongoing efforts, their dedication and their commitment to safety, especially as we enter our peak holiday season. As we discussed on our Q2 call, 2 of our largest customers renewed long-term agreements with us early in the third quarter, demonstrating the strength of those relationships and locking in long-term revenue sources and offering Cargojet preferred opportunities to fly additional routes as they develop. Even as we renew and reinvigorate relationships with our partners, we continue to look for new opportunities, as Jamie mentioned. To that end, we recently announced Cargojet return to transatlantic markets with scheduled service to Liege, Belgium, linking our extensive domestic network with direct access into Europe's leading cargo gateway. We also continue to explore new long-term charter opportunities globally as we see real market opportunity in that vertical. We also renewed our position as Canada's only ISO 9001 2015 certified air cargo carrier in the third quarter. And in October, renewed our IOSA registration, demonstrating our commitment to making safety the core of everything we do. During the third quarter, we announced the redemption of our 5.25% senior unsecured debt debentures due in 2026, which we completed subsequent to quarter end using proceeds from our offering of 4.599% senior notes, extending our overall debt maturity profile and reducing our interest costs. As in Q2, we saw block hours decline year-over-year as a result of the shift from the transatlantic ACMI flying to South American routes as well as lower frequency of China chartered flights. However, our disciplined approach to cost management continues to produce tangible results as we were able to successfully scale many cost lines along with operational activity, resulting in an adjusted EBITDA margin of roughly 32%, consistent with our historical results of adjusted EBITDA margins in the low 30% range. Discipline and flexibility in our fleet management are major drivers of Cargojet's success. During the quarter, we sold 1, 767-300 and leased 1, 757-200 to third parties, reducing our overall fleet size to 41. In the fourth quarter of 2025, we expect to take delivery of 1, 767-300 aircraft from conversion and complete the sale of another aircraft, resulting in no net change in our fleet size. While we expect to take delivery of a fully converted 767-300 in Q1 of 2026, we currently expect to lease that aircraft to a third party on or shortly after delivery. We will continue to look for opportunities to scale our fleet appropriately for the size and the needs of our business, something we have demonstrated a track record of successfully doing. I'll now pass the call over to our new Chief Financial Officer, Aaron McKay. We are excited to have him join our team for his remarks on the company's financial performance in Q3.
Aaron McKay: Thanks, Pauline. I want to start off by saying how thrilled I am to be joining the leadership team of Canada's leading air cargo carrier. I'm passionate about aviation, and I've immediately felt the passion that all of our Cargojet team members have for this business as well. I'm looking forward to the challenges and opportunities we'll face together as a team in the coming months and years. As Pauline and Jamie noted, discipline and resilience are words that we're very proud to have described the financial management of the business. The resilience of the business in a very challenging environment this quarter is apparent in the diversity of our revenue streams. In the third quarter, domestic revenue came in at just under $100 million, up almost $6 million or 6% year-over-year, helping to partially offset declines in ACMI and charter revenue. As Jamie and Pauline mentioned, those declines were primarily driven by 2 very distinct changes linked to the macroeconomic environment. Fuel surcharge and other revenue was down 8.7% year-over-year, which compares favorably to the 9.3% decline in direct fuel costs, demonstrating our ability to pass on fuel and other costs as part of our pricing model. Against that backdrop, the business maintained a relatively strong adjusted EBITDA margin, as Pauline noted. One item to call out is the -- is that year-over-year in gross margin, because we include some less variable non-EBITDA impacting items like depreciation and heavy maintenance amortization that are driven by the timing of maintenance events and fleet size and direct expenses, our gross margin was squeezed with revenue declines. Excluding those items, our gross margin is much more stable year-over-year with some increases in direct costs being partially offset by reductions in SG&A at the adjusted EBITDA level. Prudent and disciplined capital allocation remains a key priority for Cargojet. Maintaining a net debt to adjusted EBITDA ratio of 1.5 to 2.5x over the long-term, supporting the investment-grade credit rating we achieved in the second quarter of this year is a key objective for us. The current operating environment as well as the timing of certain fleet transactions has pushed our expected return to a net leverage ratio below 2.5x, which we now expect to achieve in early 2026. We remain dedicated to that goal, and we'll balance that objective with returns to shareholders through continued dividend growth and the opportunistic use of our normal course issuer bid. Pauline walked through the fleet changes in the quarter, which resulted in growth capital expenditures of $22 million, a sequential decline from Q1 and Q2 as we believe the investments we've made to date as well as our near-term fleet plans are sufficient to meet near-term growth plans. Maintenance capital expenditures in the quarter were $45.5 million, again, a sequential decline from the first 2 quarters of the year. Net of proceeds from disposal, the third quarter, we saw an overall reduction in year-to-date net CapEx of roughly $41 million to just over $170 million by the end of September. We now expect Q4 gross CapEx to be in the range of -- gross CapEx to be in the range of $45 million to $55 million, with approximately half of that amount is growth CapEx, as a result of the expected delivery of 1, 767-300 aircraft from conversion. As we previously disclosed, we are actively looking at transactions that may reduce that incremental CapEx in Q4 to near 0. I'll close by saying how pleased I am to become part of the Cargojet family, and I look forward to spending more time with Cargojet team members, our customers and the folks on this call. With that, I'll pass it back to Pauline to close out before we take questions.
Pauline Dhillon: Thanks, Aaron. I want to close by once again saying how proud I am of the Cargojet team members for their dedication to the success of our business, resilience and discipline they demonstrate in their work every day. We have the cargo pedigree. While the economic environment remains uncertain, we are confident that those qualities will continue to drive success of our business in the long run. Thank you for joining us. Kelsey, we'll take questions now.
Operator: [Operator Instructions] And your first question comes from Konark Gupta from Scotiabank.
Unknown Analyst: This is Nate in for Konark. Congrats, Jamie, for a great career and Pauline for succeeding. Just 2 quick questions. One is, how do you expect the recently renewed DHL contract revenue to ramp up through 2026 as you navigate the near-term route transition to short haul?
Jamie Porteous: Thanks, Nate. Thanks for the comments. I mean, as I said in my remarks, we don't see -- we don't expect a rapid increase in revenues. It will really be dependent on what some of the global impact of the trade negotiations between the U.S. and other countries. And as those get resolved, I think we'll see a slow and steady ramp-up, but I don't anticipate it would be until later in 2026 and into 2027 at this point.
Ajay Virmani: Yes. I just want to add in also that with DHL, we are one of the preferred carriers because of our strategic partnership with them. And when the Europe and other areas slowed down for them, we were given the opportunity to fly routes in South America where there are less block hours, but none of our aircraft were displaced. And I think DHL and Cargojet relationship being strong enough, we are the last carrier that gets any notice if there's any slowdown, but we are the first one to be brought in when things turn positive.
Pauline Dhillon: And I just want to add to A.J. and Jamie's comments. When DHL does ramp up again, we are ready for the ramp-up. We will be prepared to continue to service their routes, both in the short term and the long-term.
Unknown Analyst: Okay. That's very helpful. The second one I would ask is, what has led to a decrease in China frequencies from last year against the backdrop of rising e-commerce demand in Canada?
Jamie Porteous: Yes. It's just been the overall sort of uncertainty from a geopolitical standpoint, the uncertainty regarding tariffs, which affect more the U.S. than Canada, but we saw a decline from the frequencies that we were flying in the third and fourth quarter of last week, really started at the beginning of this year. It started strong. We were probably flying 4 or 5 frequencies in the first quarter, but then demand seemed to soften down to 3 frequencies per week, which was consistent through the third quarter. And we're -- as I said, we're expecting stronger -- have already seen some stronger demand in the fourth quarter.
Ajay Virmani: And also the elimination of de minimis, which impacted shipments to the U.S., but a lot of U.S. shipments transit from Canada.
Operator: And your next question comes from Walter Spracklin from RBC Capital Markets.
Walter Spracklin: Jamie, it's really been a great pleasure working with you all of these years. You're going to be -- you are going to be sorely missed, and I do wish you the best of luck. I envy a little bit on that regard. Yes. Turning to the question, I guess, fleet plan, it looks like you're not -- you don't have much in the way of new additions coming in after Q4. So I'm not seeing anything in '26 or '27. Is that right? And if so, are we looking at any growth CapEx? Or should we model in some feedstock purchases? Curious to see -- curious to hear about what we should model in for growth CapEx in light of limited new deliveries.
Aaron McKay: Walter, it's Aaron here. We did mention we do expect to take delivery of 1 aircraft early in 2026, but it's our intent to lease that out either on or shortly after delivery. But beyond that, I think you're correct. We're expecting pretty minimal growth CapEx through 2026 at this point.
Ajay Virmani: Walter, as you know, we have always kept our minds and doors open. If there is more business and if we have some guaranteed contracts, we do have access to 2 aircraft, which is 767-200s sitting in our possession right now that we acquired only for engine values, which we have already extracted. And those remain available to us to convert if the market picks up or if there's a demand or a guaranteed contract.
Walter Spracklin: Okay. That's great. In terms of ACMI and charter revenue cadence, I don't know if looking at your historical is the right thing to do here given everything going on around us. But I know Q4 typically, certainly last year saw quite a pickup quarter-to-quarter from Q3 to Q4 in all-in charter, obviously, some of the new business there. And then in ACMI, we also saw a pickup. When we model now for Q4 and then also 2026, how do we look at Q4 cadence relative to Q3? And for '26, should we -- given our -- given the world around us today, should we be building in any growth in your overall ACMI and charter businesses, respectively, for 2026? How do you look at the -- or how do you approach the outlook from that angle?
Ajay Virmani: Well, just quickly, quarter 4 -- and I'll get Jamie and Pauline on this after I make my comment. Quarter 4 is certainly, as we know, traditionally better than quarter 3. And that is just the nature of the business that the peak period, overall demand is up, whether it's charters, domestic or ACMI, everything is relatively up. So quarter 4, yes, it will definitely be better than quarter 3. That's all I can tell you right now. 2026, we are in the process at this time with our customers discussing the needs for the first quarter because at this stage, nobody is committing anything to quarter 2, quarter 3 or quarter 4 next year. So at this stage, our discussions are primarily focused on quarter 1 of 2026. And everybody, to be honest with you, as we know what the conditions are, wait and see sort of mode. So I wish we could give you a little more color on it, but this is exactly what we have right now is that in another week or 10 days, we will have most of our quarter 1 of 2026 finalized.
Jamie Porteous: Just to add to A.J.'s comments, Walter, I think sequentially, you'll see an increase in both ACMI and the charter revenues in Q4 versus Q3 of this year, but it won't be of the magnitude of increase that we historically see sequentially from Q3 to Q4, similar to -- as an example for last year. And as A.J. said, I think going into 2026, at least in the first quarter, I think you'll see similar revenues that we saw in year-to-date in both the ACMI and the charter segments.
Pauline Dhillon: Yes. Walter, it's Pauline here. And just to add to A.J. and Jamie, while that's what we expect from the customers and as A.J. explained in Q4, we do plan to see an uptick. Going into 2026, we're also going to look at new trade routes. We're going to look at new opportunities. We're going to go out into the market and see how we can expand the brand outside of the current customer base that we have today, starting with the Liege program that we announced last week.
Walter Spracklin: Great. Okay. That makes a lot of sense. My last question here is on margins. And I'm not sure if this -- I know Pauline has been near and dear to your heart, but also Aaron, you explicitly called out your efforts to rationalize costs and spoke constructively about your margin profile going into 2026. And -- but by the same token, we did see some pressure on margin when -- due to some of the costs that Aaron you flagged in your prepared remarks being sticky with lower revenue. How should we look at margins in 2026? Is this something that you see enough line of sight that given a fairly consistent revenue profile, if we were to assume that, is this something you can get better margins on? Or is there something else we should consider when we look out to 2026?
Aaron McKay: Yes, Walter, it's Aaron here. I think you're right. For 2026, we'll start to see more and more of the positive outcomes of the cost control initiatives we're taking. So I think you'll see the margins stay consistent, and you'll start to see that impact of those initiatives through the cost lines.
Operator: And your next question comes from Chris Murray from ATB Capital Markets.
Chris Murray: So first off, Jamie, I just want to wish you a good retirement. I want to thank you for all your help over the years. It's really been appreciated. And Pauline, congratulations on your new role. And Aaron, welcome to Cargojet. With that being said, maybe just trying to put together the ACMI and the charter, but also with the mainline business into Q4? And maybe just thinking about this a different way. Your block hours were down year-over-year about, I guess, about 15%. Just wondering how -- if we use block hours as a metric, how should we be thinking about block hour evolution over the next couple of quarters? Because it seems like the mix is going to change. And generally, we've seen that independent of where you're pointing the aircraft, it's really the block hours that drives the revenue. So just any thoughts maybe on a block hour basis on how to think about the next couple of quarters.
Jamie Porteous: Yes. Thanks, Chris, for the comments. And in terms of block hours, you're right. I mean it's a big driver of revenue, especially on the ACMI and the Charter segment. Our domestic hours seem -- are pretty constant other than peak season. We obviously see a significant increase because of demand there. The biggest driver of the reduction in overall block hours by 16% in the quarter was the reduction -- a combination of -- the biggest part of it was a reduction in ACMI block hours flown by DHL. And as I noted in my prepared remarks, 2 things to point out. We haven't reduced the -- or DHL, our biggest ACMI customer hasn't reduced. We're operating the same number of aircraft that we've operated in previous quarters. We're just flying those on lower stage length routes. And as I've said previously, typical ACMI contracts are structured on a rate per block hour with a minimum number of block hours per month depending on the aircraft type. You get the benefit of the incremental revenue when you fly incrementally more block hours on longer-stage transatlantic, European transpacific routes that we've seen in previous years in the last few quarters as DHL has shifted capacity globally to meet the lower demand, and we've seen more flying from -- within North America and between North America -- so on a north-south basis between North America and Mexico and South America, you see a corresponding reduction in those incremental block hours. We still fly above the minimums, but I expect that, that will continue into at least the first half of 2026. On the charter hours, it's a combination. Our charter revenue is a combination of the scheduled charters we do with our Chinese customer between China and Vancouver, which you see some corresponding reduction in hours there based on the frequencies per week that we fly. The other portion of that revenue is our ad hoc charter, which has remained strong year-over-year.
Chris Murray: Okay. That's helpful. And then, Aaron, maybe a question for you. There was a sale and leaseback in the quarter. And you're talking about maybe just for capacity management, looking at the sale or maybe a lease on the 767 coming in. But I guess the bigger question here is thinking about the -- how you're going to kind of finance aircraft and the balance sheet right now. I'm just trying to understand if this is a kind of a more structural move to just find a balance between owned aircraft and leased aircraft, or how you're thinking about managing the cap stack around the aircraft over the next few years and if there's any sort of shift that we should be aware of?
Aaron McKay: Yes. No, thanks for the question, Chris. I don't think there's any sort of strategic shift. I think what you're seeing is we've grown the fleet a little bit in the recent past, and we're looking at the right ways to structure the financing of those aircraft. We mentioned earlier, we've got 1 aircraft coming early 2026, and we have opportunities with feedstock that we have if we need them. But ex that, our expectation is that growth CapEx for next year is going to be pretty limited. So I don't think you'll see a strategic look at financing aircraft in different ways. This is just a bit of catch-up.
Chris Murray: Okay. Could you -- I just -- I also go back to like your comment about Q4 CapEx might be neutral. So I was just wondering if there's additional aircraft you're looking to do sale leasebacks with or something else going on there?
Aaron McKay: That's exactly right.
Operator: And your next question comes from Kevin Chiang from CIBC.
Kevin Chiang: And again, echoing congratulations, Jamie and Pauline. Maybe if I can ask the fleet question differently. So if I just take a simple ratio of like block hours to maximum payload. You're running just rough math, let's call it, almost 20% below some of the peak levels you saw during the pandemic when I understand things were probably stretched at that point in time. But when you look at the volume environment ahead, you've kind of adjusted this fleet at the margin. But is there an opportunity to kind of reduce that what looks to be excess capacity in the number of aircraft you have just given the current volume environment? Or is that difficult to do just given some of the changes in length of haul or some of these longer-term strategic agreements you want to make sure that your service holds as volumes do recover with the likes of DHL and Amazon. Just wondering how you think about kind of the fleet composition from kind of 42 aircraft. Could you push that a little bit lower if volumes don't recover here?
Jamie Porteous: Yes. Kevin, yes, the short answer is yes, we could. We've done that in the past. I think we have a very good track record. If we have excess capacity, we can just park aircraft, we can store aircraft on a short-term or long-term basis. We could sell aircraft ultimately if we need to. But I think some of the fleet rationalization that we did in the last -- really in the last 6 months and continuing to the end of this year is to put us in a position with the fleet that meets the requirements for all 3 segments of our business. Our domestic is pretty constant. The ACMI, the number of aircraft, as I mentioned, hasn't changed with DHL, but also positions us very well for when the growth cycle returns that we have -- it's all about timing in this business that we have the aircraft, and we have the capacity when customer demand comes. And the fact that we're very confident that we'll have very minimal growth CapEx requirements related to aircraft over the next couple of years because of the fleet size that we have today, meets all of our requirements, but also, I think, more importantly, positions us for when that growth cycle comes back that we can take advantage of those revenue opportunities without any delay.
Pauline Dhillon: And Kevin, I just want to highlight something that Jamie points out. While block hours are down, the number of aircraft that we have are still being utilized in the network, ACMI and charter flying. So the aircraft fleet is consistent with what the customers are looking for and what the demands of the market are just not the block hours associated to the aircraft that you've seen in the past.
Kevin Chiang: That makes sense. And maybe just my second question. You announced the expansion into Europe, a scheduled service here. I mean it looks like -- and you kind of noted in your press release, this is a key cargo hub, and I suspect you see opportunities there. I guess when you look at your broader expansion opportunities, just what are some of the key features you're looking for? Is it trying to match your trade routes with some of the stuff, I guess, that came out with the budget last night. Is it tapping into untapped opportunities you've always seen that maybe were just higher hanging fruit given some of the other opportunities in front of you? Just how should we think about this broader kind of international scheduled expansion just given the announcement last week into Liege there?
Pauline Dhillon: Yes. Kevin, we're excited about it. We're looking at -- and we constantly look at different trade routes. We look at new opportunities. Liege, we're servicing once a week with the 767. The demand is there. We're seeing that from the marketplace. Obviously, we're going to continue with this flight. We're going to operate to Liege, and we're going to extend the brand into Europe and hopefully have connectivity through China and India and pick up cargo on the return. November, December looks strong for this route. It's one of the things that we know best is how to manage our customers' needs and expectations. So we're pretty excited about that, and we're also looking for other trade opportunities and trade routes.
Operator: And your next question comes from Timothy James from TD Cowen.
Tim James: Jamie, thanks very much. It's been a pleasure and not only working with you, but learning from you. And Pauline, congratulations on the CEO role.
Jamie Porteous: Thank you very much.
Tim James: My first question, can you talk about -- as we sit here sort of later in the year, can you talk about if you have any additional insights? And I know it's a little bit tricky to comment on this. But if you have any additional insights on sort of pull forward in demand that occurred in 2025, again, related to sort of impending tariffs and trade issues and what have you. Have you seen any indications or your customers giving you any that maybe the earlier part of the year did benefit more and you're feeling that effect here in the third quarter? And I'm thinking of both in the domestic market and sort of your international volumes as well in ACMI and/or charter.
Ajay Virmani: Tim, as you know, we are very, very close to our customers, and we -- there's not a day goes by where we don't talk about what's happening in the marketplace. Because of the tariff situations, for example, many carriers, whether it's DHL, UPS, where everybody has reduced capacity from Asia connection into Europe and to North America. People who were building, buying 10 -- let's say, they were buying 10 of widget now is buying 2 or 3 because they don't know whether the demand will be there for them to sell or not. So the size of the shipments has considerably gone down because of the uncertain macro conditions. Now you're asking how do the customers feel about what their volumes are going to be. To be honest with you, our customers, certainly, they are in a zone where they're waiting and seeing. And their customers are also telling them the same thing that we are not going to commit anything right now because we don't know whether this is a permanent shift. I hope it's not. That's not what we feel. I think things will normalize. Tariffs do come into play and then trade normalizes at some point. And that's what our industry feels as a whole. And we are hoping that once people -- I don't think it's the tariffs that much. It's the uncertain nature of the tariffs that are going on and how it's implemented and when it's going to happen and the backlogs at the airports and the warehouses. So it's all totally connected with uncertain. That's the word that uncertainty is the word here. It's not the amount of tariffs and it's not what's happening. Everybody is aware of it. So until that clarifies, I think we are all in a zone of wait and see. But the good part is that Cargojet's model is quite adjustable to these changes. We can shave block hours. We can shave some variable expenses that we don't have to do. We can cut our cost infrastructure quite deep if we needed to without disrupting the service. And also our relationship with customers help us deploy those aircraft to other routes if one route is not working. So we are in the best position to ramp up when things clear up, but we are also in the best position to ramp down a bit. And as you can see on our SG&A, we saw some of that improvement. It's strictly because of our ability to bring the expenses down when needed.
Pauline Dhillon: And to A.J.'s point, we have the ability to do that, and we proved to do that during COVID. We ramped up as market demanded, and we were able to readjust after COVID.
Tim James: Okay. That's helpful. My second question, Pauline, you mentioned about looking at opportunities for new trade routes in 2026, like the lease route that you've announced. Can you just kind of give us a bit of an overview of how you evaluate those new route opportunities in terms of -- is it primarily with your existing customer base? Just kind of how you go about deciding on the value, the decision, the economics behind new route opportunities.
Pauline Dhillon: Yes. Chris, we look at where trade happens, where -- what trade routes are required and in demand by the customer base. This customer base is a little bit more diverse than the domestic customer base. These are more freight forwarders and less couriers and integrators. We went to Liege because it is a cargo hub of Europe. It has got the best connectivity in Europe. We've taken our extensive domestic network, consolidated and are opening this trade route and servicing Europe and Canada and expanding our brand globally. So yes, we do look at the market. We look at where the market trends are going. We look at what the customers are expecting. We look at niche markets specifically that are cargo-driven that are not overserviced by passenger aircraft, allowing more cargo lift to go in and service the consumers and the markets that we strategically select.
Operator: And your next question comes from Razi Hasan from Paradigm Capital.
Razi Hasan: Congrats to both Jamie and Pauline. Just quickly on previous calls, you spoke about potential opportunities of flying directly into Canada given the tariff impact. I know it's still uncertainty out there, but is there any update on any potential opportunities that you guys are seeing?
Pauline Dhillon: Sorry, flying into Canada?
Razi Hasan: Yes. It's kind of bypassing the U.S. and flying into Canada. I think you mentioned that on previous calls, just given the tariff uncertainty. Is there any update there to that?
Jamie Porteous: Yes. We have -- we've continued to have inquiries from customers, particularly out of China, looking at flying additional frequencies into Canada and even some into the U.S., but nothing that's -- that we're anticipating flying in the next -- at least in Q4 or Q1 of next year.
Razi Hasan: Okay. Great. And then one last question just in terms of flight out of China, should we expect the [indiscernible] 3 flights a week into maybe the back half of 2026, just given the setup heading into the back half of 2025?
Pauline Dhillon: Yes. We don't see any change there too.
Operator: And there are no further questions at this time. You may please proceed.
Pauline Dhillon: Thank you, everyone, for joining us on the call today. We appreciate you taking the time. We'll continue with the analyst calls throughout the day. We look forward to speaking with all of you soon.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for your participation. You may now disconnect. Have a great day.